Operator: Good morning. My name is Indira Diaz [Indiscernible], and I welcome you to our First Quarter results release. On the quarter, we have Juan Esteban Calle, our CEO, Felipe Aristizabal, our CFO, Maria Isabel Echeverri, VP of Legal Affairs, Bill Wagner, the VP of the U.S. Division, Lucus Moreno (ph), the VP of growth and business development of the U.S. Division, [Indiscernible] the VP of cement operations of the us Division, Carlos Yusty, the VP of the Colombian Division, and Camilo Restrepo, the VP of the Caribbean and Central America Division. Please note that certain forward-looking statements and information during the call or in the reports and presentation uploaded at www.argos.co/ir are related to Cementos Argos S.A. and its subsidiaries, which are based on the knowledge of current facts, expectations, circumstances, and assumptions on future events. Various factors may cause Argos future results, performance, or accomplishments to differ from those expressed herein. The forward-looking statements are made to date and Argos doesn't assume any obligation to update such statements in the future as a result of the information, future events, or any other factors. Today, after the initial remarks, there will be a Q&A session. If you have a question, please raise your hand by pressing the icon at the bottom of your screen at any time during the conference. We will record this Q&A and upload it in our web page. It is now my pleasure to turn the call over to Mr. Calle.
Juan Esteban Calle: Thank you, Indira and good morning, everyone. For the first time in many years, our three regions are consistently and simultaneously facing strong demand and very constructive pricing momentum. We are currently operating at a very high-capacity utilization level across our network. These dynamic conditions in our key markets have led to solid volume performance as well as to record price increases across the board, driving quarterly revenue to an all-time high of 2.6 trillion pesos. In terms of pricing, we had shipped the highest sequential increase into business of the last seven years resulting from a more aggressive pricing strategy and its favorable market conditions that allow us to increase prices by 10% to 15% in our main markets. Volumes evolved accordingly with a total of 3.9 million tons of cement and 1.9 million cubic meters of ready-mix concrete dispatched during the quarter. They main challenged during the period was operating in an environment of heightened inflationary pressure and lower than normal redundancies throughout the supply chain, leading to [Indiscernible] to manage internal or external disruptions to the business. On the aggregate, the increasing cost of sales versus last year, on a comparable basis, was around 345 billion pesos, mainly offset by the 330 billion pesos generated by the price increase. In terms of cost, these 395 billion pesos would have mostly related to the increasing raw materials, with our total impact of around 120 billion pesos, and energetics, with our total increase of around 80 billion pesos.  The remaining amount was due to freight and distribution costs, maintenance, labor, and overproduction cost. On raw materials, the highest impact was on the GCCA region, mainly affected by higher cost of imported cement and clinker associated to the trading business and the supply of our grinding stations. The U.S.. has had an important increase in raw materials due to the high volumes imported cement, resulted from the longer than expected maintenance [Indiscernible] and my [Indiscernible] that reduced total cement productions at these facilities during the period. The increase of the cost of hardware gets into production on ready-mix also impacted this cost in the U.S. On Energetics, the highest contribution was from Colombia impacted by the increase of natural gas and coal.  To phase this significant increase in cost of Energetics, we have fixed an important portion of our fuel requirements that are included here as well as a minor portion of the estimated consumption for 2023. All the initiatives such as the increase of alternative fuel consumption and the distribution of the fuel matrix or less expensive Energetics are also part of our comprehensive plan to soften the impacts of increasing fuel cost in our results. Our adjusted EBITDA for the first quarter accounted for 359 billion pesos as a result of higher prices, inflationary pressures, and headwinds associated to maintenance. Though lower than the 2021 first quarter EBITDA figure, the result is consistent with the expectations embedded into the EBITDA guidance for the year of 2.05 trillion to 2.15 trillion pesos.  Now, moving to our regions, I would like to start by sharing some recent news on the senior management team. Camilo Restrepo, who has been leading the CCA region, has been appointed as President of cement business in the U.S. reporting directly to Bill Wagner, the CEO of the U.S. region. Camilo has been part of this company for over 17 years, leading high-performance teams, yielding outstanding results, entering new markets, transforming business models and strengthening our value proposition while carrying Argos DNA and its culture day to day. We want to congratulate Camilo for his new position and wish him and his team the best of luck moving forward. Regarding to the result of the U.S., I would like to invite Bill Wagner to provide more context about the performance of the region and our view for the market.
Bill Wagner: Thank you, Juan, and good morning, everyone. The market in the U.S. continued to be very strong during the first quarter, allowing us to achieve improvements in both volumes and prices versus last year. Our first price increase was carried out during January, effectively improving our average FOB prices for cement by 9% and for ready-mix by 9.5% year-over-year. Volumes evolved accordingly, increasing on a comparable basis, 7.3% in cement and 2.6% in ready-mix year-over-year, mostly influenced by a resilient residential market. As expected, cost exhibited significant hikes during the quarter when compared to 2021.  Total unitary costs increased 20.8% in cement and 13% in ready-mix year-over-year, resulting mainly from an increase of $5.8 million in energetics, $7.5 million in raw materials due to higher volumes of imported cement, and $4.5 million of maintenance arising from non-reoccurring expenses in Martinsburg and the dredging cost of the Houston port that takes place every two years to three years. Regarding energetics, we fixed an important portion of our fuel requirements for the year, which allowed us to obtain an average cost increase significantly below current market impacts in both our cement and ready-mix businesses. To date, in the U.S., we have fixed the price of 40% of our natural gas consumption, 53% of our diesel consumption, and 68% of our co-consumption estimated for the remainder of 2022. In addition to our negotiated fixed fuel prices, we continue to work on the use of alternative fuels as a measure to tackle the unprecedented inflationary pressures. During the first quarter of 2022, we replaced the equivalent of 12,000 metric tons of coal with alternative fuels such as biomass, RDF, and TDF, which is a fuel derived from tires. In total, our substitution rate reached around 11% of our Energetics matrix during the quarter. All of our plants are equipped to substitute fossil fuels, with a potential overall substitution of 20%.  We will continue to work on improving the substitution rate, which is key for both environmental and profitability reasons. Adjusted EBITDA stood at $40 million during the quarter, 17% below the 2021 figure within EBITDA margin of 11%. This is a result of positive market evolution, and a very successful pricing strategy that was overshadowed by the increase in maintenance expenses, the higher imported volumes in the cement business, the strong cost inflation and Energetics, and the result from the ready-mix business in Houston that were weaker, mainly caused by the timing of the price increases which were implemented at the start of the second quarter. Despite these challenges, we remain fully confident regarding our strong fundamentals of the market and the expected performance of the business going forward, taking into account the positive pricing dynamics, the evolution of the business in April, and our operation in hedging strategies which will allow us to obtain an optimum outcome for the coming quarters and reach the projected goal for the year. On the sustainability front, we recently launched our Ecostrong PLC which is our brand for Type 1L. The Roberta and Newberry plants will be fully converted to Ecostrong PLC cement by June and October respectively while the Harleyville and Martinsburg plants will achieve a 60% and 50% production rate in this product prospectively by the year end 2022. Our goal is to convert all of our cement production facilities to Ecostrong PLC cement by 2023.  On the ready-mix business, we have successfully introduced our PLC cement in the Carolinas and Florida and we're expecting to use this cement in all locations in the Eastern States by June. The Ecostrong PLC cement has a lower clinker factor ratio, reducing the variable cost per ton of cement and the CO2 emissions by up to 15% when compared to regular Type 1 cement. Regarding the market dynamics, we continue to be confident about the positive evolution of the fundamentals. On the residential front, building permits and housing stats are showing a positive evolution, with year-over-year increases of 6.7% and 3.9% respectively in March. On the commercial segment, the ABI index stood at 58 points during March, the highest figure since the pandemic started.  The Civil and Infrastructure segment continues to be steady with a mild year-over-year increase of 1.7% as of March on public spending. We reaffirm our belief with of a strong market moving forward and a new cycle of growth based on the evolution of the macro indicators and the willingness of the current government to close the gap of under-investment in infrastructure at a national level. Based on that growth forecast, we have decided to invest, during the current year, a total of $90 million in CapEx in the U.S., equivalent to 45% of the total CapEx of the company. This CapEx includes the purchase of 132 ready-mix trucks that will replace existing trucks and marginally increase the capacity due to their increased efficiency as well as the investment in the Houston port that will increase the import capacity in around 500,000 tons annually by 2024.  We are confident in our ability to capture future growth in the U.S. with our local footprint, which is a result of 17 years of selective organic and inorganic growth for a long-term vision of the market and current investment plans.
Juan Esteban Calle: Thank you, Bill. The strong fundamentals of the U.S. business together with our commercial, operational and cost control initiatives provide optimism to reaching our goals for the year. Now, moving to Colombia, I would like to highlight the continuation of the positive market conditions in the Colombian market which in terms of cement dispatches could do 2% year-over-year in the first quarter of 2022 and reach a historic record of $1.26 million tons in March. Carlos Horacio will now provide additional color on this region.
Carlos Horacio Yusty: Thank you, Juan and good morning. First of all, I would like to clarify that from this quarter on, the export division including volume and financial results that were previously reported on the CCA region, will become part of the disclosed figures of the Colombia region. The solid demand conditions in the country continued during the first three months of the year, driven by the retail segment, residential construction and infrastructure projects. In January, the company announced a national price increase of -- for all products, therefore, our local prices for cement and ready-mix increased 8% and 4% respectively year-over-year, which was well received by our customers and by the industry overall.  Despite lower-than-expected volumes during the first few weeks of the year, a strong demand conditions rapidly took hold across the country reaching in March, the highest figure of monthly cement dispatches for Cementos Argos during the past five years. Accumulated dispatches for the local market, as of March, were 6% lower than the same period of 2021 and exports from Cartagena increased 32% year-over-year. On the ready-mix business, volumes continued their positive return rate and grew 13.4% year-over-year, mainly driven by formal construction, especially in the Residential segment. The main challenge we faced during the quarter were the inflationary pressures that affected not only the cost, but also the availability of energetics in the country.  Our team successfully deployed a strategy that insured the supply of fuels to our cement plants at the lowest cost possible, allowing us to operate at full capacity during the entire period. The main initiatives around cost inflation were focused on the diversification of our fuel matrix and the adjustment of the mix between natural gas and coal, aiming at obtaining optimal clinker quality and generating savings by reducing the clinker factor. Unitary cost increased 28.4% in the cement and 6.3% in ready-mix, impacted mainly by 42 billion pesos of higher cost in energetics and tough comparison based on maintenance expenses of 4 billion pesos related to the major maintenance of our Cartagena plant, that last year, took place during the second quarter.  Additionally, the increase in the unitary costs associated with the [Indiscernible] of the Cartagena plant that was restarted last year to capture incremental volumes mainly related to experts, and the higher price offers lack also impacted the overall cost of the country. Looking forward, we intend to continue working on the adjustment of our optimal fuel matrix and on increasing the substitution of alternative fuels. This year, we expect to increase the use of alternative fuels in our Cartagena and Rio Claro plants by 50% compared to the previous year.  The combination of higher prices, the impact on variable costs arising front Energetics and a tough comparison based on maintenance expenses, led to an EBITDA of a 130 billion pesos which is 18% below last year's figure. I would like to point out here that if we exclude the results from the export division, the last year decrease is reduced to 13.8% evidencing the good performance of the local market. The EBITDA margin stood at 20.5%, 344 basis points lower than the same period of last year. Nevertheless, we are in line with our budget and are certain that the actions being undertaken by the company will lead us to achieve our '22 -- 2022 guidance. Regarding market dynamics, the residential segment in Colombia continuous delivering positive signals. During the quarter, social and non-social housing sales grew 6.4% and 5.5% respectively year-over-year despite a challenging comparison base. As a result of the strong housing sales that have been recorded in the past 12 to 18 months, housing stats grew 11% versus the first quarter of 2021, and reached 10 million square meters during the last 12 months, the highest level in seven years. On infrastructure projects, we remain optimistic due to the positive advances being made on 4G projects that are expected to continue. The Bogota Metro, which is underway and is projected to generate an important demand during the next three to four years. On other projects, such as Puerto Antioquia, a port located in the Uraba region with an estimated investment of $700 million that is currently set to begin its construction phase and is on track -- is in the process of being awarded to bidders.  For the last quarter of 2022 and for the 2023, 5G projects are expected to begin their construction phase supporting positive demand conditions in the segment as other projects are completed. We expect a strong demand condition to continue in the [Indiscernible] as both cement and ready-mix dispatches continue to exhibit an [Indiscernible] trend and the [Indiscernible] macro fundamentals of the country provide solid support for the residential and infrastructure segments. We are confident that with our footprint, commercial strategy, and cost containment plans, we are uniquely and well-positioned to capture current growth and properly tackle all the headwinds arising from the current inflationary pressures.
Juan Esteban Calle: Thank you, Carlos. Moving on to the Caribbean and Central America. I would like to highlight the continuation of the solid demand conditions across the region and the outstanding job that our team have been executing in order to mitigate a very challenging inflationary environment. Camilo will provide additional information on this subject.
Camilo Restrepo: Thank you, Juan. And good morning, everyone. During the first quarter, market conditions throughout the region remain positive, which allowed the continuation of solid pricing dynamics with cement prices posting a double-digit sequential improvement and a 6% growth year-over-year. Nevertheless, cement dispatches decreased 11% compared to the same period of last year, mainly influenced by operational difficulties in Haiti in Dominican Republic, the governmental transition in Honduras and lower trading volumes. Honduras exhibited positive market fundamentals associated mostly to a strong yearly increase of 22% on remittances, which allows us to continue develop -- deploying our price recovery strategy with a high single-digit adjustment during the quarter. However, the transition to a new government has slowed down demand in public infrastructure construction, impacting our cement dispatches for the quarter, with a 9% decrease versus the same period of last year. Nevertheless, it is worth mentioning that this has been a very smooth presidential transition compared to previous changes in government. Solid demand conditions evidenced since 2021, continued into Dominican Republic, leading to a double-digit growth in [Indiscernible] prices. However, during the first quarter, we experienced mechanical difficulties in our cement mill, which resulted in a 5% reduction in cement dispatches. This issue has been solved and the plant is running better than before. In Panama, cement volumes decreased 9% compared to the same quarter of last year. But we're optimistic for the following months as we expect a recovery in volumes due to advancement on some of the major Infrastructure projects in the country, such as the third and first lines of the Panama Metro and the positive evolution of the Residential segment, especially on social housing.  Operations in Haiti, posted the largest price adjustment of the regions during the quarter. But cement dispatches remained at low levels due to technical challenges at the plant and social unrest in the country, combined with complications in the fuel supply. This has been an ongoing situation since the second semester of 2021, but we expect this to be fully solved during the second quarter and are bullish on being able to take advantage of the positive demand conditions the country has experienced over the past months. Similarly, in Puerto Rico, prices maintain their positive trend with a mid-single-digit growth, while cement volumes decreased 8% year-over-year due to a slow start in January, disruptions in the supply chain of other building materials, and a strong rainy season.  Trading volumes decreased 11% during the quarter, mainly due to the increase in export already explained previously by Carlos, which allowed us to reapply our Puerto Rico operations from Cartagena and postpone two shipments that had higher FOB prices. In line with our expectations, cost inflation also impacted the CCA region during the first three months of the year. Unitary cost increased 17.3% in cement and 11.8% in ready-mix associated mostly to an impact of $8 million in the cost of trading business and $2 million in energetics. We were able to partially offset the impact on fuel costs as we managed to make the necessary purchases to fulfill our fuel needs for 2022 and part of 2023 before the recent price hikes.  However, we have experienced significant increases in the cost of electrical energy in Honduras as part of the price hikes from the state energy company. In the Dominican Republic, we incurred an additional cost as we had to purchase cement from third parties to be able to supply our clients during the technical difficulties we experienced. In general, the quarterly results of the region were impacted as a result of higher import costs. During the quarter, EBITDA decreased 23.7% year-over-year closing at $29 million mainly affected by the previously mentioned cost impact across the region and in line with our expectations.  The continuation of solid demand conditions across our footprint, the integration of the region with the Cartagena plant, and the availability of our own fleet of vessels all contribute to the positive outlook for the rest of 2022 despite the volatile conditions that the industry is facing.
Juan Esteban Calle: Thank you, Camilo. Now I would like to provide more context on the transaction that was announced to the market on mid-March related to the 23 ready-mix concrete plants located in Eastern North Carolina and Southwest Florida on the execution of a $1 million [Indiscernible] agreement. This transaction was carried out for a total of $93 million and was executed in line with our rationale of focusing our ready-mix business in urban centers and in close proximity towards cement operations to ensure a higher degree of vertical integration and maximum profitability. With these transactions, we're finalizing the disposal program that started in 2019 with excellent results in terms of footprint optimization of our ready-mix business to balancing of the cement and ready-mix portfolio of Argos USA, the leveraging and increasing business profitability. We are now entering a new cycle in all of our regions with ambitious targets in terms of return of capital and sustainable growth. Regarding our balance statement, I would like to highlight that our net debt to EBITDA plus dividends ratio remained stable during the quarter at 2.9 times. From this quarter onward, the ratio disclosed to investors will be exactly the same ratio applicable for our debt covenants which includes reason to exchange rate adjustment, these are not EBITDA exclusions including among others, non-cash items and the gains on sale of divestment.  We've remained committed with the guidance we provided last quarter given the robust demand conditions in all three regions, the point of inflection and pricing dynamics that we evidenced during the quarter, and the initiatives the company has deployed in order to control the cost pressure previously discussed during this call. I would like to end the call by thanking each one of our employees for their unparalleled commitment that makes possible the outstanding performance of the company under the challenging and volatile conditions the industry has faced during the last years. Thank you all for your attention. Indira, we can now proceed with the Q&A section.
Operator: Thank you, Juan. We will proceed then with the Q&A. Please, remember that in order to ask a question you need to raise your hand using the icon that is at the bottom of your screen. I will say your name and will enable your microphone. Take into account that you need to un -mute your microphone before you speak. The first question comes from Gordon Lee from BTG.
Gordon Lee: Hi good morning everybody, thank you very much for the call. A couple of questions on the U.S. specifically actually. I was wondering, first if you could give us a sense of whether you have seen any impact on residential side from higher interest rates. And obviously that's having an impact on refinancing activity, but I don't know whether you have been able to perceive any slowdown in stats or in backlog as a result, on the residential front. The other question on the US is if you could share with us what percentage of your footprint saw price increases in the first quarter, and what price increases you have scheduled for the remainder of the year? Thank you.
Juan Esteban Calle: Thank you, Gordon. Thank you for your question. In terms of any slowdown in Residential, so far we haven't seen any. I mean, the reality is that fundamentals are very strong in the U.S. and that is why our volumes went up in cement in a good way, and similarly, in ready-mix. So up to now, we haven't seen any slowdown whatsoever in any of our markets. In terms of pricing, which explains in part the results of the U.S., we were very successful increasing prices in all of our markets with the exception of Houston. The price increase in Houston was executed in April. But other than that, I mean, we are seeing very strong pricing momentum in the U.S. And going forward, our plan is to continue managing prices in order to mitigate cost inflation. But reality is that we see very good fundamentals in the U.S. so far.
Gordon Lee: Thank you. If I could just have a quick follow-up to the pricing question. Have you already advised your clients of a second price increase over the summer, which I know it's something that a lot of your peers have done as well? Is that something that they've already baked in, as it were, into their own expectations?
Juan Esteban Calle: In terms of pricing, Gordon, that is all the information that we would like to share with the market. But the reality is that once again, we see very constructive pricing -- prices going forward.
Gordon Lee: Fair enough. Thank you very much.
Operator: Next question comes from Yassine Touahri from On Field.
Yassine Touahri: Can you hear me?
Operator: Yes.
Yassine Touahri: Okay. Good afternoon -- Good morning, gentlemen. I understand when I'm looking at your results, that the price increase for the first quarter, was oddly 78% at the [Indiscernible] [Indiscernible]. And at the same time, you had unitary concentration of maybe 15% to 20%. So I think what I would like to understand is that, based on the current commodity price and based on the current situation, what kind of cost inflation would you expect for 2022? I think one European company named [Indiscernible], they mentioned that they would expect concentration of maybe 15%. They actually mentioned that they will need to increase prices by 15% to cover cost inflation. Is it something that is similar for you or is it something -- or is it too early to say?
Juan Esteban Calle: Thank you for the question, Yassine [Indiscernible], we will have to go market-by-market. If you look at the us, I mean the impact of cost inflation in terms of energetics plus electricity per ton. It was close to between $4 and $5 per ton. And we're prices in cementing increase close to $11 to $12 per ton already in the U.S. The main impact that we saw in the quarter in the result of the U.S. was mainly explained by lower production in North cement plants. We had like lower production of close to 150,000 tons that were replaced by imports. So we think that in the U.S. we're ahead of the cost inflation in terms of pricing. We don't see any operational challenges going forward in the remaining quarters in the U.S. In Central America and the Caribbean, where we have more asset light model, we are seeing higher impact in terms of price inflation because we import cement and clinker to our operations.  But in most of our markets, I would say that we're ahead of that inflation as well. Our results were impacted, as Camilo explained, by lower volumes of production in Haiti and in the Dominican Republic and the reality is that in Honduras, because of the change of coal, we saw per will be the with lower volumes as well and in that market we are expecting to continue increasing prices going forward to mitigate cost inflation. And in Colombia, prices are behaving well but in the region we suffered the highest impact in terms of the inflation of coal. So in reality, our strategy going forward in Colombia is to continue increasing prices to mitigate price inflation but in general, we're still considered that we're on target to hit the guidance that we gave to the market the previous call.
Yassine Touahri: Away from Colombia, could you give us an update on the parity between import cost and local prices? And I would like to -- if you could give us a little bit more color about why the market didn't bridge the gap over the past six to 12 months and why prices are not higher today? Is it because of the new entrants?
Juan Esteban Calle: Yassine -- and Carlos can give a little bit of more color, but the reality is that in Colombia, [Indiscernible] has been very strong, as strong as we have seen in many years. In fact, as Carlos explained during the call, March was a record year in terms of demand of cement in Colombia. Infrastructure projects are going extremely well and the housing market is behaving very well. Prices are still well below in parity prices, but there are strategies to continue recording prices. Carlos can complement to give you more color.
Carlos Horacio Yusty: Thank you, Juan. Yeah, Yassine, as Juan is mentioning, really the integration with [Indiscernible] in Colombia right now, it's totally different than one or two years ago. Now, the challenge is the cost inflation and mainly the coal inflation because -- I don't know if you know, but Colombia is very rich in coal, but at the moment, every one of the coal miners are willing or are deciding to export the coal, and the -- because of the international coal prices has rocketed. For that reason, the most challenging situation in Colombia right now is the cost inflation. Really, it's not the import parity because the demand is growing very robust in all of the segments, and in then those segment -- Infrastructure segment, the housing stats [Indiscernible] segment is really very robust as well. The most challenging situation right now is the coal inflation.
Yassine Touahri: The prices are not -- not conflicting this discussed because we've seen so in some other countries in the world, we could see pricing -- we could see price increase of 15% to 20% with such a large cost increase. Is it because of the competitive situation? Is it some of your competitor that are focusing on market share other than volume addressing truly on the [Indiscernible] why you won't increase prices as much as cost?
Juan Esteban Calle: We are increasing, like we said in the call, we increase the price in January the 1st where in the case of the cement by 8%. We increase again in the second half which -- in some part of Colombia, the second half of April. In -- the rest of Colombia, in the first half when the first week of May and we are trying to catch up the cost inflation with the price increase.
Yassine Touahri: Thank you very much.
Juan Esteban Calle: Okay.
Operator: Next question comes from Rodrigo Sanchez from Davivienda Corredores.
Rodrigo Sanchez: Yes. Good morning and thank you for the presentation. I have three questions and the third one is, if you could please comment on the difference in margins from the exports operation versus the inflation operation in Colombia. What do you expect in margins from the export operation going forward? Also, I would like to know if you could please share the net income figure excluding the divestments made during the quarter. Finally, regarding the U.S., I would like to know how would you compare the Energetics fuel prices you mentioned you achieve to fix versus the prices you faced during the first quarter? Thank you.
Juan Esteban Calle: Thank you, Rodrigo. I will take the first question and then Felipe Aristizabal will comment on net income, and Marlon Melo will provide you a little bit more information about fuels in the U.S.. We continue bullish on exporting from Cartagena. The reality is our plant is as competitive as any plant that you can get to serve the U.S. market and Central America and the Caribbean. On top of that, we have a significant advantage in freight costs from Cartagena to serve those markets. We are still making a vision margin on our export. But once again, due to cost inflation, most likely export prices out of Cartagena will increase as well in the following quarters. But we've considered that this is still a very interesting and profitable business for us. Felipe will comment now on your question on net income.
Felipe Aristizabal: Sure. And hi, Rodrigo and everyone. So effectively, the divestiture of the operation on North Carolina and Florida generated $93 million off cash. The gain on sale associated to that transaction was close to $22 million. So if we exclude the gain on sale on that operation, the net income would be reduced by that amount.
Juan Esteban Calle: Thank you, Felipe, Now, Marlon, can you give some color on fuel prices in the U.S., the portions that we have hedged and the remaining that we will get in on the spot.
Marlon Melo: Yeah true. We beat Mabel to fix big part of the volumes that we need to use in our process. During the first part of the year, we've fixed the 40% of the coal that we need, the total consumption that we need. On the natural gas as well, something close to 40%, 53% of the diesel that we need for our operations, bold operations, ready-mix and cement and we have a good hedging strategy in place for that purpose and with that we are upsetting big part of their -- of the inflation pressure that we're receiving now in the -- in all the operations. We are keeping -- working on that strategy as well trying to increase our hedging during the second quarter and that's exactly what we are trying to continue doing during the remaining of the year in terms to avoid any additional cost -- negative cost impact in our numbers. But again, as a summary, 40% in natural gas, roughly 50% in coal, 53% in diesel is the hedging we have and the volumes we fix for all the fields.
Rodrigo Sanchez: Thank you. But if I may, would it be fair to say that in the U.S., the price fixed are close to the prices you paid in the first quarter or should we expect significant differences going forward?
Juan Esteban Calle: The prices are really high at this time for all the fuels. Compared with the last year, first quarter are higher in certain cases something close to 40%, 45% in the case of coal. But with this strategy that we put in place; we are offsetting big part of that price increase. The average that you are seeing in the industry with the polling data, you can see in the market, is that the people are receiving impacts in those prices almost a double. We are around 40% higher than last year. We are offsetting as I said before, we are offsetting big part of the -- of that price increase.
Rodrigo Sanchez: And the reality model is that with that hedging strategy, we are not foreseeing any additional pressure on the second quarter. We can expect like the cost of electricity plus energetics to be in-line with the first quarter in the second quarter, right?
Juan Esteban Calle: That's correct. When you saw what we are seeing now, old trends, we are seeing similar in the second quarter, similar prices that you see -- that you saw in the first quarter and we are not expecting to have anything different in the second part of the year with the hedging strategy, we are covering all the possibilities there. I think we are going to be in good shape for the second semester.
Rodrigo Sanchez: Thank you very much.
Operator: Next question comes from Vanessa Quiroga from Crédit Suisse.
Vanessa Quiroga: Okay. Thank you for taking my question and your time. So my question is, first on, the same energetic strategy for Colombia, can you tell us what cages you've entered in Colombia to protect you from the, cost inflation? And the second question that I have is regarding maintenance if you have any maintenance, were scheduled for the rest of our year-end at the Fran regions. Thanks.
Juan Esteban Calle: Thank you Vanessa and Carlos you can answer the first question, please.
Carlos Horacio Yusty: Hi, Vanessa. In the case of Colombia, we have a [Indiscernible] contract for about 35% of our consumption of coals, yes, because that is with a big -- or with a very formal coal company. For the rest that, really, the situation in Colombia is quite difficult. And why? Because in Colombia, we buy the coal mainly for a small miners, yes? And really, with this situation of -- with the international prices, it's really difficult that we can sign out a contract -- a long-term or inclusive meter hedging or fixing the coal price. Really, they [Indiscernible] to do that. Really, they are [Indiscernible] the international price, and for that we are -- for that situation, we are trying to optimize the mix of energetics, and usually, for [Indiscernible], we are starting the consumption or increasing the consumption of natural gas.  Right now in Cartagena, for instance, we are consuming about 30% of natural gas in the kiln number four which is the biggest kiln of our operation in Colombia. But it's pretty similar situation in the case of the Yumbo plant. We're consuming -- we are almost increasing by 50% consumption of our tenant diffuse in Cartagena and Rio Claro in order to optimize the cost and in order to optimize as well as the Energetics charge in the queue. But it's really difficult to increase the hedging of the call-in case of Colombia [Indiscernible].
Vanessa Quiroga: All right. Thank you. And regarding diesel, do you -- can you hedge anything for Colombia?
Carlos Horacio Yusty: For the what? Excuse me.
Vanessa Quiroga: Diesel.
Carlos Horacio Yusty: Diesel. Really, we -- diesel is not an issue in Colombia for the ready-mix tax. But really, when you compare to now, the international price of diesel or electricity, the natural -- but the international price of gasoline in Colombia is really lower than the -- but the local prices really, they have on the international price right now.
Vanessa Quiroga: Understood.
Juan Esteban Calle: Okay. Thank you, Vanessa. In terms of maintenance, I mean, as you know, in the U.S., all the major maintenance are done during the winter months, so we don't have any major maintenance schedule for the remainder of the year in Central America and the Caribbean. The major maintenance in Honduras was made during the month of March and April. So that what we have left is the Dominican Republic and Haiti. And Carlos, Cartagena was -- the maintenance of Cartagena was done during the first quarter. What else do we have list left for the remainder of the year?
Carlos Horacio Yusty: Yeah. That's right Juan. In the 2021 it was
Operator: Hello. It seems like we've lost Carlos.
Juan Esteban Calle: I can complement for petcoke Honduras, we were also -- we were fully purchased before price hike, so we don't have any exposition on our petcoke for the Caribbean.
Operator: Thank you. I think we lost part of the answer, Carlos.
Juan Esteban Calle: Yeah. Carlos got cut out.
Operator: Oh, sir. Yeah.
Carlos Horacio Yusty: No, I just -- talking about the big maintenance that we made in the first quarter in Cartagena, and it was run in the second half of the 2021 in Cartagena. For the reason is not compatible, and we -- for this one, we increased the maintenance costs in the taste of the Colombian by about $10 billion pesos.
Juan Esteban Calle: And do we have, Carlos, in Colombia newer maintenance of cement plant scheduled for the remaining of the year?
Carlos Horacio Yusty: For the rest of the year already, we have another really quite comfortable with 2021. Really the -- what is not comparable was the stock-price out of the comprehensive plant
Vanessa Quiroga: Thank you very much, very hopeful.
Carlos Horacio Yusty: Okay.
Operator: Next question comes from Steffania Mosquera from CrediCorp.
Steffania Mosquera: Good morning. Thank you very much for the presentation. I would like to touch on the maintenance of the Cartagena plant. Specifically, I would like to understand the impact it had in terms of these budgets. This is because as you stated, the Colombian market increased 2% year-over-year while you're production in Colombia decreased slightly. So is this explained by the Cartagena plant maintenance, or is there any other explanation?
Juan Esteban Calle: Carlos, you can take that one.
Carlos Horacio Yusty: Hi, Steffania. Not really. The maintenance of the Cartagena plant was not because of the -- that why we decreased 6% in comparison with the market. The -- no, the -- it really was because we increased the price in the first -- in January. And so another competitors [Indiscernible] to that. Our [Indiscernible] in January we lost -- in January and [Indiscernible] in February we lost some market share, but we are -- we -- in March, we record the market share and it was more because the price increase, more than the Cartagena maintenance.
Steffania Mosquera: Great. Thank you very much. And my question is regarding the expansion of the U.S. port. What its capacity are you expecting to reach? What import capacity are you expecting to reach by year-end?
Carlos Horacio Yusty: I mean, we have plenty of capacity to import into the U.S. right now. We expect to be close to 500,000 tons of input in the U.S. from Cartagena without taking to account the operation in Puerto Rico. But we have to -- close to 5.5. billion tons of input capacity on that is why we are increasing capacity in our terminals, and that is why we expanded the terminal in Cartagena, because going forward, we see a significant opportunity to continue growing exports in a significant way out of Cartagena.
Steffania Mosquera: Great. Thank you very much.
Operator: We don't have any more questions, Juan.
Juan Esteban Calle: Okay. Once again, thank you very much for joining the call and looking forward to our next conference call for the second quarter of 2022. Have a great day all.